Operator: At this time all participants are in listen only mode. (Operator Instructions) Please note today’s call is being recorded. It is now my pleasure to turn the program over to Kevin Stitt.
Kevin Stitt: Before Brian Moynihan and Neil Cotty begin their comments, let me remind you that this presentation does contain some forward-looking statements regarding our financial conditions and financial results in that these statements involve certain risks that may cause actual results in the future to be different from our current expectations. These factors include among other things changes in economic conditions, changes in interest rates, competitive pressures within the financial services industry and legislative or regulatory requirements that may affect our businesses. For additional factors please see our press release and SEC documents. With that, let me turn it over to Brian.
Brian T. Moynihan : I’m going to start by giving you a high level review of the first quarter and then I’ll turn it over to Neil to take you through the core drivers of the business and as usual we’ve included lots of details on each of the business segments on each of the appendixes to the slides to answer your questions and Kevin and Lee and the rest of our team will be available to answer your follow up questions all through the day. Just starting on a first quarter before we get in to the slides, I think that the results reinforce what I think will be the trends that we’ll discuss over the next few quarters, decreasing charge offs, potential reserve releases and those types of things that dominate credit discussions. We see the modest growth in the economy through the rest of 2010 will continue to hold loan growth back but on the good side of that we’re seeing the consumer and commercial health return which we believe will continue as the year progresses and add some momentum. As the economy continues to recover we’ll also see a switch in how we earn money in our company, expecting our core banking earnings and loans and deposit businesses to pick up and supplement the currently strongly capital markets, investment banking and wealth management businesses. So let’s drop in to the slides. Let’s begin on page four; just to hit the high points and the summary for the quarter, the credit costs and delinquency levels continue to improve with managed losses coming down about $500,000,000 from the fourth quarter of $10.8 billion which is a good sign. The commercial criticized levels continue to drop also in addition through the 166 and 167, our reserves now stand at $48 billion or about 4.8% of total loans. All this makes us more confident that the worst of the credit cycle is clearly behind us at this point. Our capital levels remain quite strong even after bringing in the 167 changes. We currently expect to accrete and add additional capital through earnings and asset sales through the year as we’ve talked to you about and we remain comfortable that through our past capital raises, our earnings and balance sheet management, our capital position remains strong and is sufficient. We’ve also built our liquidity and Neil will talk to you about that later. As we think about our business performance during the quarter, I’d summarize as follows. Our global banking and markets business had a very strong quarter. There’s two components to that business, one is our global corporate investment team and it looks like they were second in overall fees received, they had strong debt and equity capital markets. We do have room to continue to improve in the M&A area [inaudible] and then the core lending cash management business and that business remains strong. Tom Montag that leads that business but also leads our global markets business had a tremendous quarter in the areas of sales and trading, strong results across all the areas with legacy assets right downs now down to an immaterial amount and that also shows the worst of the crisis is behind us we believe. Switching to the other businesses, David Darnell’s global commercial banking business returned to profitability which is a good sign with a solid quarter as better credit results coupled with strong deposits and fee performance continue to offset what is weak loan demand from our core commercial customers. Our global wealth and investment management area led by Sallie Krawcheck, they had a solid quarter. As markets stabilized core activity picked up when we stabilized the advisors and other areas in that business. As we move to the consumer side, Joe Price and the deposit business had a stable quarter and we’ll talk to you about the challenges that group faces with the new regulations around the fees they can receive over time under Reg E and other changes we made. The good news is that our core credit card business returned to profitability. It was driven by a reserve release but the lower net charge off levels are still a very good thing and that business is continuing to repair. As I have said, the consumer card balances will take a few quarters to level off but, given that and given our conservative underwriting, we still produced 725 million accounts which is good performance. Our work in progress remains mortgage. Barbara Desoer’s team has done a good job on the modifications and getting ahead of some of the issues that were the talk of the industry early in the quarter but we still face the issues that are elevated home equity charge offs that we think will continue for several quarters and I talked to you about that a few weeks ago. On production side, the production level came down as the market slowed and Barbara and their team will adjust their thoughts likewise over the next several quarters. As we think about the company from more the offensive side and how we go to market, we continue to drive this integrated model across the three customer groups we serve: consumers; companies; and institutional investors. The model continues to require that we focus our consumer businesses more effectively as a group going against the customer and Joe Price and his team recently announced further changes to integrate the card and deposits business. We’ve also made changes in how we charge our customers. While this impacts our short term revenue along with the rule changes that have gone on, we believe this provides an investment in our franchise to maintain our position as the number one retail banking franchise in this country. Our integrated model also continues to progress in the area of referrals. Neil will take you through some of those numbers later. Before we get in to numbers, let me add that we’ve added a new member to our management team. Chuck Noski has joined us as CFO and we look forward to him starting in May. Neil and his team have done a great job and Neil has done a great job in the interim and we look forward to Neil continuing to help us do a great job in the future. Now, let’s go to Slide Five and we’ll start talking about the numbers. I’ll take you through a couple pages and then turn it over to Neil. On Slide Five you can see we reported core earnings of $3.2 billion or $0.28 per common share versus a loss of $194 million or $0.60 per share in the last quarter. That compares to $4.2 billion in earnings and $0.44 per share in the first quarter of a year ago. Earnings this quarter represented the breadth of our platform and the franchise strength. In addition, to remind everybody the repayment of TARP eliminates approximately $900 million of recurring quarterly dividends that we didn’t have in the first quarter of ’10 versus the fourth quarter of ’09. As you’ll note, compared to the past few quarters, this is one of the clean up quarters with low equity sales, other significant items and little or no significant items in the legacy asset market. Also remember as you look at our numbers, is that the managed basis is the appropriate way to think about things due to FAS 166 and 167. As we drop on to Slide Six, you can see some of the details for the quarter. Revenue was up 14% compared to managed results from fourth quarter driven mainly by very strong capital markets and trading results. Expense levels were up 8%, mostly for two items, the revenue in the global markets driving higher incentive comp as you’d expect and also the cost of the retirement eligible grants which happen in the first quarter of every year. Most other areas we continue to manage expenses carefully, are relatively flat in the expense category. On a managed basis, provision was down 25%, charge offs are down 5% and we released $1 billion of reserves which Neil will take you through later and how that ties in to some of the changes in home equity accounts. Net charge offs were impacted this quarter by the write down of collateral [repayment] in home equity loans by $813 million and $140 million net of existing reserves. We ended the quarter with Tier-1 capital of 10.23%, Tier-1 common of 7.6% and tangible common of .24%. As I said before, reserves in excess of $48 billion. That capital position and those reserve levels when you compare year-over-year were very strong and hold us in good stead going forward. We continue to hold strong liquidity and we added substantially to it this quarter. On Slide Seven you can see the top of the house trends for the company. Compared to a year ago, total revenue is down but it is higher than the last few quarters. The separate revenue categories that Neil will take you through, have performed favorably: service charges; investment broker services; investment banking; and trading account profits. Other areas are flattish and struggled a little bit more. Some of the areas are net interest income, equity investment gains and mortgage banking compared to last year’s first quarter. Pre-tax pre-provision or [inaudible] reached $14.5 billion, a strong performance. Credit costs decreased due to both lower charge offs and a reserve release that Neil will talk about. What you can really see with this is that as credit costs subside you can see that the bottom line earnings come through and that’s what we’ve all been waiting to see as we move beyond the crisis. When we go to page eight, just to touch on the business segments, you can see their performance this quarter. I talked earlier about them more subjectively but the key here is that all our businesses segments were able to make money this quarter except for one, home loans, and the global card service and global commercial banking returned to profitability this quarter which is strong. We clearly on home loan investments loss $2 billion. We continue to have work to do and the bulk of that was the home equity provisioning and credit impaired reserving and we are addressing those issues and Barbara and her team are working hard and hopefully we’ll correct that over the next few quarters. With that, let me turn it over to Neil.
Neil A. Cotty : I will dig deeper on individual revenue line items starting on Slide 10. Net interest income on an FT basis was $14.1 billion, down $300 million on a managed basis from the fourth quarter. This was due to lower loan levels and spread compression through the trading book, offset somewhat by improved pricing in deposits. Additionally, there were three fewer days in the quarter. During the quarter the net interest yield of 2.93% decreased 11 basis points on a managed basis due mainly to lower credit card balances and spread compressions in the trading book. Our balance sheet at the end of the quarter was relatively flat versus the end of last year after adjusting for FAS 166, 167 and continued to remain asset sensitive. Implementation of the Card Act is expected to reduce net interest income due to reduced balances and an inability to reprice a risk as well as adversely impact card fees. Total 2010 expected revenue impacts of the Card Act including both margin and fees net of mitigation is now expected to be roughly $900 million after taxes including the recently announced regional fee provisions. As you can see on Slide 11, average loans excluding residential mortgages which were down $13 billion or 1.6% in Q4 after adjusting for FAS 166, 167 while average deposits were also down 1.4%. Excluding the Countrywide decrease of $2.4 billion, average retail deposits were up slightly as we maintained our pricing discipline. Also shown is the increase in our discretionary portfolio on an average basis versus Q4 which I will touch on later. Going forward, we expect net interest income to trend down throughout the year due to the continued long run off and the impact of the Card Act. Overall, interest rate positioning continues to be asset sensitive as we are positioned to benefit should the yield curve end up being higher over the next 12 months relative to what is currently implied in the forward curve. Turning to card income on Slide 12, revenue declined 9% from Q4 due to the seasonal impact of lower retail volume and lower fees associated with the implementation of the card act. Debit card spending versus a year ago is up 10% while credit card spending versus a year ago is up 1%. On Slide 13, we show service charges were down $190 million to $2.6 billion due mainly to seasonal trends. As all of you know by now, we made changes to the overdraft policy last year which is costing us on average about $160 million a quarter. Reg E will have an additional impact when it becomes effective later this year. We believe that total impact of these changes will be reflected in the fourth quarter numbers. We are currently estimating overall service charges in the fourth quarter to be around $2 billion which will fully reflect Reg E versus the $2.6 billion this quarter. Obviously, we’ll look to mitigate this impact. While we are not prepared to detail the mitigation today, you should expect that customers will have a choice of banking more efficiently bringing more relationships to us or paying a maintenance fee. Mortgage bank income on Slide 14 dropped from Q4 primarily due to lower production revenue on lower values partially offset by higher service fee income. Production income decreased $300 million on both lower margins and lower production volume. Production income includes the expense for reps and warranties which was flat with the fourth quarter at around $500 million. Service fee income net of [head] results increased approximately $150 million. The capitalization rate for the consumer mortgage MSR assets ended the quarter at 110 basis points versus 113 basis points in the fourth quarter. Turning to Slide 15, investment and brokerage fees were up slightly from Q4 because an increase in asset management fees were partially offset by lower brokerage fees. Asset management fees of $1.5 billion were up 2% from Q4 due to market valuations while brokerage fees decreased 1% due to lower transactional activity primarily due to three less days. Assets under management ended the quarter at $751 billion up slightly as the improvement in the market and positive flows generated by advisors were positively offset by outflows in the Columbia Cash Complex. We continue to experience continued stability and retention in the level of our wealth advisors. We currently have 16,470 advisors comprised of 15,000 FAs and other wealth advisor roles of 1,460. Our other wealth advisor roles include investment associates, financial solution advisors and US Trust advisors. This is the first quarter in several quarters were we increased a number of active households we serve up approximately 12,000 to 3.1 million. As you can see, we are adding new accounts at a decent pace which is a nice turnaround from last year. We expect to complete the sale of our long term asset management business of Columbia to Ameriprise in Q2. It should have a minimal impact on P&L but goodwill and intangible reductions will aide capital by approximately $800 million. Sales and trading revenue which includes both net interest income and non-interest income reflected a pretty decent quarter as you can see on Slide 16. The first quarter is usually the strongest quarter in sales and trading for the year. Total revenue of $7 billion comprised of fixed and equities increased $4.8 billion from Q4 and even topped last year’s first quarter by $788 million which was a record quarter at that time. Fixed income revenue is up more than $4.2 billion driven by rates and currencies, credit products and structured products offset by a decrease in commodities. Equity revenue increased $580 million from a slow third and fourth quarter of last year. This is the first time in several quarters where right downs of legacy assets didn’t have a significant impact on revenue. However, this impact could fluctuate going forward. Investment banking income on Slide 17 had a drop from Q4 which is mostly seasonable but is up almost 18% from a year ago. Bank of America Merrill Lynch was the most active global underwriter in the first quarter completing more than 450 transactions across debt securities, equity and loans around the world. Over 100 deals more than our nearest competitor. Compared to a year ago, investment appetite continues to return to more normal levels. One of the biggest turnarounds was in the high yield market which was virtually closed at the beginning of last year but jumped to near record volumes this past quarter. Investment grade also turned around in a strong quarter. The global equity markets started slowly this year but steadily gained momentum and finished the quarter with some large IPOs. Our revenue remains concentrated in the Americas versus more diversified global mix at some of our peers. Consequently, we continue to focus on the opportunities with key hires and relationship building in important markets outside the US. Turning to the remaining revenue categories on Slide 18, equity investment income was $625 million which driven by improved market valuations somewhat offset by a $330 million loss from the sale in equity portfolio and our discretionary portfolio. Gains on the sale from debt securities was $734 million in the first quarter compared to $1 billion in Q4. Other income reflected insurance revenue of $715 million up a bit from both the fourth quarter and a year ago. The credit mark on Merrill Lynch structured notes on the fair value option resulted in a gain of $226 million. Let me now say a few things about expense management on Slide 19. Total expenses increased $1.4 billion from Q4 due to the impact of expenses related to retirement eligible stock grants of $758 million and increased incentive comp of approximately $800 million based on the overall financial performance of the company as well as certain business segments. Excluding incentive compensation expenses were down $221 million due to lower professional fees and occupancy. Switching now to asset quality on Slide 21, we continue to see an improving trend in total net losses. Consumer credit costs reductions in the unsecured lending portfolios reflected lower contractual losses and a more than seasonal decline in bankruptcies while consumer real estate continued to stabilize. Commercial asset quality improved as well for the second straight quarter with net credit losses and criticized levels down across most portfolios. Reserve levels increased almost $11 billion as a result of the adoption of FAS 166, 167 and now totals almost 5% of loans and leases. As you review our asset quality performance, there are a few things we’ll have to factor in to your analysis to get a clear picture of the trend. First, is the impact of FAS 166, 167 and we have listed on Slide 22 the areas that are affected, primarily card and home equity receivables returning to the balance sheet. In addition, during the quarter we implemented guidance which clarified the timing of charge offs on collateral dependent home loans, we have concluded that our carrying values should be based on the underlying collateral value as opposed to the expected cash flows. This increased our consumer real estate charge offs by $813 million including $643 million in home equity and $170 million primarily in residential mortgage. A significant amount of these loans are still current, meaning the borrowers are making their contractual payments on a timely basis. Finally, as we have done in the past, we repurchased government issued delinquent loans because it is more economical than to continue to advance principle and interest at a security rate. These loans are still insured by the government but do in fact show up on our 30 plus performing delinquency measures. I bring your attention to these items because in some instances they may mask the trends of improvement we are experiencing. Turning to credit quality trends on Slide 23, total net charge offs of $10.8 billion decreased $550 million compared to net losses in Q4. These net charge offs included previously mentioned $813 million of home loan charge offs associated with collateral dependent modified loans. Excluding this impact and the additional $170 million of home equity net charge offs due to FAS 166, 167 consumer losses versus Q4 were down $811 million and commercial losses were down $722 million. Excluding the impact of FAS 166, 167 the allowance for credit losses actually decreased $992 million. This was driven by approximately $2.3 billion related to improving delinquencies of bankruptcies and consumer credit card and unsecured consumer lending portfolios and about $160 million related to our dealer financial services portfolio. These decreases were partially offset by $890 million of additional allowance associated with Countrywide purchased credit portfolio and approximately $640 million for consumer real estate loans. The additional impaired loan reserving reflects the need to increase the life of loan loss estimates to take in to account our deteriorating view on defaults on more seasoned loans in the portfolio as well as the impact of our modification programs on these loans. This impact was somewhat moderated by improved HPI in certain geographies. On the commercial side, reserves were relatively flat to commercial real estate primarily due to stabilization of portfolio trends and broad based improvement across the remaining core commercial portfolios. In small business reserves dropped $270 million related to improved portfolio trends driven by the economy as well as changes in money criteria implemented in 2008 and 2009. On Slide 24, we show you the trend in non-performers. In the consumer area we saw an increase of $678 million of which $231 million was related to FAS 166, 167. The pace of increase slowed from Q4 due to charge offs of collateral dependent modified loans and an increase in the amount of TDRs returning to performance status. Commercial non-performers decreased almost $500 million from the end of the year as reductions outpaced inflows. Almost all of the decrease was non real estate related while real estate NPAs were essentially flat, to call it out $35 million. Approximately 95% of the commercial NPAs are collateralized and approximately 32% are contractually current. Total commercial NPAs are carried at about 71% of the original value before considering loan loss reserves. Now, on Slide 25 you can see that excluding the impact of delinquent government insured loans, consumer delinquency trends continue to improve at a faster rate. 30 plus delinquencies decreased approximately $3 billion or 12% excluding the impact of delinquent government insured loans in line with our expectations. Delinquent government insured loans added $2.7 billion to the 30 plus delinquency levels although again they are still insured. These government insured loans are primarily related to repurchases from Ginnie Mae securitizations for economic reasons as I mentioned earlier. Commercial reserve book fixed size exposures declined by $3.4 billion or 6% versus a drop of $1.4 billion in Q4 for the second straight quarter of decreases. These decreases were broad based across clients and industries although criticized levels in commercial real estate are not expected to stabilize for a few quarters. Slide 26 shows you trends in consumer charge offs. As you can see most categories appear to be improving or stabilizing. The uptick in home equity was related to collateral dependent actions and the impact of FAS 166, 167. Going forward we expect to see continued improvement with perhaps home equity lagging the other products. On Slide 27, it appears that commercial charge offs peaked in the third quarter. Getting back to home equity, let me elaborate a bit on our home equity portfolio on Slide 28. You can see total outstandings at the end of March were $150 billion. Now, approximately 90% of the outstandings were in standalone originations versus piggyback loans. Approximately $13 billion in the portfolio is included in Countrywide purchased credit impaired portfolio at the end of March which is also discussed on the next slide. For the non-purchased impaired portfolios, approximately $26 billion of the portfolio is in a first lien position and obviously [inaudible] in a second lien position. For the second lien position there are $39 billion that have CLTVs in excess of 100%. However, that does not mean the severity of loss would be 100% of home equity loan in an event of default. Depending on the loan-to-value of the first lien, it may be collateral in excess of the first lien that would be used to reduce the severity of loss on the second lien. So if you made an assumption that the proceeds would be 89% of the collateral value we would estimate that there is collateral value available around $11 million to reduce the severity of the loss on the $39 billion of second liens. Also, on the total non-purchased impaired home equity portfolio, our reserves are pretty significant at $8.3 billion or over 6%. On Slide 29, we give you the summary of what is in the Countrywide impaired portfolio. The lifetime loss rates represent our current estimates that the portfolio loss expectations as a percentage of the original unpaid principle balance of the portfolio at acquisition date. At the end of March the unpaid principle balance of the remaining portfolio is $46 billion. Including the original credit market, the acquisition and the additional evaluation allowance we have established, the portfolio is carried at $32 billion or 69% of the unpaid principle balance. On $29 billion or 62% of the March 31st unpaid principle balance, we would not have experienced any charge off to dates if these loans had been accounted for like our non-purchased impaired portfolio. Additionally, of this $39 billion customers are up to date or current on their payments on $24 billion. Home loan modifications are detailed on Slide 50. We service $14 million first and second lien mortgage loans. Since the start of 2008, Bank of America and previously Countrywide have assisted customers with more than 800,000 home loan modification transactions including more than 289 trial modifications. More than 82% of the customers in trial modifications have made three or more consecutive payments. We have completed more than 530,000 through our own proprietary programs and through HAMP we have completed nearly 38 permanent modifications and an additional 35 modifications are just awaiting customer signatures. Turning to capital and liquidity highlights on Slide 32, our liquidity position strengthened during the quarter as customers continued to delever and we have shifted to more liquid assets in the discretionary portfolio. Cash and cash equivalents were up more than $20 billion. Our global excess liquidity sources ended the period up about $50 billion to $214 billion we had at the end of the year. Remember, that consists of both cash and highly liquid unencumbered investment securities such as US treasuries and agency mortgage backed securities held at the parent, our banks and our broker dealers which are readily available to meet our liquidity needs as they arise. We think it is prudent given the low interest rates to maintain a high level liquidity and as Brian said, given our interest rate outlook we continue to be measured in our approach to reinvestment. Our parent company required funding metric stands at 24 months of liquidity. As noted on our last call, we’ll continue to be selective in going to the debt markets and diversing our funding footprint but we expect our benchmark issuance to be substantially less than our maturities. Keep in mind that FAS 166 and 167 did present a drag on select ratios in Q1. As you can see on Slide 33, Tier-1 ended the quarter at 10.23% down 17 basis points from the end of the year. Tier-1 common was 7.6% and tangible capital is 5.24%. We view these levels as strong and we believe we can increase these levels over the next couple of quarters. For now, every dollar of net income earned over the year, roughly $400 million quarterly dividends paid is accretive to capital. On Slide 34, we’ve listed several examples to demonstrate how we are gaining traction in referring existing customers to other parts of the bank. Over the past several quarters the average retail deposits experienced strong organic growth in Merrill Lynch Global Wealth Management. The pace of consumer referrals and sales to Merrill Lynch Global Wealth Management accelerated in the first quarter reaching 275,000 referrals since the merger. More than 7,100 have been made by FAs to the commercial bank generating more than $27 million of revenue. We expect these types of opportunities to continue. Before we open it up for questions, let me reiterate that 2010 is starting off in line with the opinions expressed in January. The improvement in credit quality is probably better than our expectations in January and our outlook for the rest of the year has also improved. However, we do have revenue headwinds in the second half of the year as customers continue to delever and we realize the full adoption of the Card Act and Reg E that will impact net interest income, card income and service charges. From an earnings perspective it will be the dynamic of how fast credit improves and expenses are kept under control versus the drop in revenue. However, by the end of the year we should start to see some stabilization in revenue levels at which time we may be able to talk about growth due to improved consumer and commercial activity. With that, we’ll open it for questions.
Operator: (Operator Instructions) Your first question comes from Matthew D. O’Connor – Deutsche Bank North America.
Matthew D. O’Connor – Deutsche Bank North America: If I could just ask a clarification question on the $813 million of charge offs related to the loan modifications, is that a onetime catch up or is some of that $813 recurring?
Neil A. Cotty : I would look at the majority of it has previously been provided for through provision and it was actually in our allowance so look at that as just moving in to charge offs and so it would be a onetime catch up to charge offs of that magnitude.
Matthew D. O’Connor – Deutsche Bank North America: So going forward as we think about the home equity losses specifically should we use the current run rate and adjust that up or down for wherever we trend from here or do we back out that $600 million and go from there?
Neil A. Cotty : You would back that out.
Matthew D. O’Connor – Deutsche Bank North America: So all in home equity losses should decline from reported 1Q levels you would think then?
Brian T. Moynihan : Yes. As we get to the second quarter if you look back at the historical trend, up to $2 billion was the trend we were running at, this is sort of outside.
Matthew D. O’Connor – Deutsche Bank North America: Then just separately, the card balances continued to come down, the home equity comes down, any sense of when those might bottom and at what levels? And then of course, what you’ll do with all the cash that’s being freed up?
Brian T. Moynihan : I think as you think about the consumer portfolio, just to frame it a little bit and cards in this is a major driver, but if you think we had about $430 billion of loans in the first quarter of last year and now we have a little under $400 billion, so we dropped $37 to $38 billion in loans, $33 billion of that is actually due to charge off credit. So what’s driving the loan amount down in a large part is still charge off credit. As charge offs come down, as they are, we’ll see stabilization from that and also as we run off the portfolios we didn’t want to have around we’ll see stabilization. So I think it will take us probably I’d say three or four quarters where you’ll see it but underneath the trends of the core stuff that we are going to keep and drive for value over time is very stable it’s just you have these sort of extra factors that we’re dealing with in the short term. The pure issue of charge off taking loan balances down and the secondly running off some of the portfolios which are where we can which are not as attractive so look three or four forward.
Matthew D. O’Connor – Deutsche Bank North America: So hopefully by the end of this year you would think overall loan balances could start to inflect?
Brian T. Moynihan : I think the key on the overall balances away from card which will be a driver is to remember a couple of things one, is we have the portfolios, the Countrywide acquired portfolio which we’re continuing to run. The mortgage portfolio is not going to run that fast. We’ve got the in home equity again, I wouldn’t expect that to grow and it will kind of bounce around. But, remember on the commercial side, what we’ve seen in David Darnell’s portfolio and if you look year-over-year his loan balances are down fairly dramatically and that is due to customer demand. There’s no other explanation. That’s because customers are not feeling the need to draw on their lines because they don’t see economic demand. We have seen that I’d argue stabilize somewhat very recently and so we’re not sure, a short period of time doesn’t make a trend, but our belief is that as the economy stays stable that number ought to sit where it is and then the draw rate which is in the mid 30s as opposed to the 40s ought to come back up as people build more inventories, hire more people, have more cash flow needs. So I would say watch over the next couple of quarters but we feel better about it here than we did probably a quarter ago.
Operator: Your next question comes from Paul J. Miller – FBR Capital Markets.
Paul J. Miller – FBR Capital Markets: On the provisions, you took your provisions up roughly $10 billion to adjust to the FAS 166 and you have a big chunk of provisions out there now, close to $48 billion. How should we look at provisions going forward? I know a lot of people this year are really looking for provisions to really drop off. How are you looking at that and when should we start to see a lot of provision release going forward?
Brian T. Moynihan : On the actual charge off levels I think you can see the trend line Paul and you can look at them. We’re facing still unemployment that is very sticky and so the numbers yesterday I think all give us pause and new claims and stuff, we aren’t seeing quite the improvement that people could mathematically get to and stuff. So they’ll keep coming down if you look fairly stated quarter-over-quarter a billion range of actual charge offs. I think we’ll see continued improvements there but I’d be careful until we sort of see unemployment break that we see that. On terms of reserves releases, we’re trying to be conservative here, we’re trying to watch because we still have uncertainty in the economy and we’re sitting on a strong reserve. We’ve built the reserves up significantly year-over-year and we’ll continue to hold those reserves. So I’d be careful about assuming huge reserve releases near term until there’s more certainty in the economy but the core trends are strong and like I said at the very beginning this will be the discussion we’re going to have each quarter. That’s sort of the trade off here but we’re going to try to make sure that we don’t have any probability of needing to build reserves because the economy has a little blip in it or something.
Operator: Your next question comes from Mike Mayo – Calyon Securities (USA), Inc.
Mike Mayo – Calyon Securities (USA), Inc.: Just a follow up to that last answer, you have uncertainty in the economy, unemployment sticky but credit was better than expected for this quarter and better than you think you had expected before for the year. How do we reconcile these two thoughts?
Brian T. Moynihan : Strong collection activity, getting ahead of it last year and some of the credit expense we took last year in areas like bankruptcy and stuff so that people who are filing now we’ve already charged them off with some of the policies we’ve adopted. But then lower balances, you have to remember the balances we run off were of a kind that were sort of net risk adjusted margin probably negative or very neutral at best so we’re running off more risky balances, and the balances we’re retaining are the more solid balances for a lack of a better word. All of those dynamics as you are seeing. I think the real thing you need to focus on is if you look at the early stage delinquencies, that improvement, those are real improvements. Frankly over the last six to eight quarters more and more conservative policies on anything you can do with customers that have been implemented by us so those are very strong improvements. I think that’s how you reconcile it. The unemployment levels are high but as long as there’s not a lot of new people going in and stuff, we don’t see it as affecting us we’re just cautious.
Mike Mayo – Calyon Securities (USA), Inc.: Then going to trading, why is trading so high? I mean externally it’s hard to figure this out, is it proprietary trading, is it derivative, do you have some mark ups there, what’s going on?
Brian T. Moynihan : Let me characterize it and then let Neil fill in. I think if you look first quarter last year it was strong too, there’s been very strong markets, the spreads have narrowed but the activity levels are very high especially in the fixed income areas and we’ve been able to take advantage of it. We don’t have a big prop book so the fixed income stuff you see is all driven by customer activity that we’re moving around for them it’s just there is very active issuance and there’s very active secondary market going on. The first quarter is always the best quarter of the year in this business and you’ll see it. The equity business continues to be very steady. So, I think it’s really all good performance. The actual VAR and risk we’re taking is relatively flattish through the last five quarters. It’s equivalent to what you’re hearing from other people in the market and so it’s strong performance and we’re watching the risk carefully to make sure we don’t have that reverse on us and Tom Montag’s team has done a very good job. Neil do you want to add anything?
Neil A. Cotty : As Brian said we can all argue how good VAR is but it’s up slightly from the end of the year probably $276 versus $255 and we look at a three year trailing so it’s going to be a little higher than others that might be quoting using one year. But sort of up and down the P&L as I mentioned, other than maybe commodities is the growth but you’re just seeing strong customer flow reposition the balance sheets and it was steady throughout the quarter. January was strong, it tailed off somewhat in February and March but just steady each and every day.
Brian T. Moynihan : Just on the VAR, the three year VAR obviously picks up the worst stressed period in history in the ’08 and the one year would not so on a one year basis we’d be between $65 and $75 million to give you a sense.
Mike Mayo – Calyon Securities (USA), Inc.: Then last question I know you just got a new CFO but what are the financial targets for Bank of America?
Brian T. Moynihan : Mike, I think making sure that we understand the different things that are hitting us in terms of capital and stuff but if you think about a 5% return equity we’re not satisfied, you think about a 10% return intangible equity, we’re not satisfied. I’d say we’re less than half way home so I think we’d expect to have in terms of equity in the low teens area and we expect to exceed that in tangible equity but it’s good to be where you’re starting to see relative to core earnings level and you can build off of it as the economy improves.
Operator: Your next question comes from Betsy Graseck – Morgan Stanley.
Betsy Graseck – Morgan Stanley: A question on capital, your common Tier-1 ratio went down very slightly, obviously a function of the FAS 166, 167. Can you just give us a sense as to what you’d be managing the company to and what the trigger point for you to start share buy backs? I know it might be out a ways but I just want to get a sense as to what you’re thinking about?
Brian T. Moynihan : To be clear when I talked to a lot of you at conference a few weeks back we thought originally the net impact was sort of 50 to 60 basis points. With the better earnings and stuff you saw that impact mitigated tremendously. We accrete capital pretty quickly right now and Neil made that point. I think we’ve got to have like two or three things clarified, we need to know where Basal will fit, we need to know the economy is stable and continues to go North and we need to get these levels probably slightly higher to retain earnings and then we’ll feel comfortable. Clearly, we’re very comfortable in the ranges of some uncertainty about how you’re going to count things going forward. The one I look at, the tangible common equity, I think we’ve got to get it up to the 5% to 5.5% range and probably close to 5.5% is what we have to get to but that will come pretty quickly with some earnings and then we can talk about that. Because, I think as we go through the next two or three quarters you’ll see certainly on a Basal III, certainly on this sort of economy and then I think we’ve got to have a good discussion but I think it’s still a few quarters premature.
Betsy Graseck – Morgan Stanley: Then just a couple of more detailed questions, you outlined the expected impact from the card fees, $900 million after tax, what’s in the run rate in 2Q?
Brian T. Moynihan : In 2Q or 1Q?
Betsy Graseck – Morgan Stanley: I’m sorry 1Q.
Brian T. Moynihan : It’s not a lot yet because most implementation actually happened in February and so that’s why we’re trying to give you sort of the long term view so you expect that most of the implementation costs that we talked about is there.
Neil A. Cotty : About $150 to $160 million pre-tax.
Betsy Graseck – Morgan Stanley: $150 to $160 pre-tax?
Neil A. Cotty : By the way that’s after mitigation.
Betsy Graseck – Morgan Stanley: Right, and the mitigation you’re talking about is what exactly?
Brian T. Moynihan : It’s just a whole bunch of techniques of how you put credit on. Remember, the core thing the Card Act says is you can’t price the risk once you put the credit on until a person is delinquent and so what we’re doing is pricing up front and some of the fees and other things that we can do to make up for it but that’s the board’s charge.
Betsy Graseck – Morgan Stanley: But you’re looking at that $900 million versus like an ’08 number or an ’09?
Brian T. Moynihan : Yes, ’09 number.
Betsy Graseck – Morgan Stanley: Then on the service charges, on page 13 I think you outlined that, could you give us a sense that $2 billion run rate that you could potentially be coming close to in 4Q is before any mitigation. Can you talk a little bit about what you’re thinking about with regard to mitigation and the sizing of mitigation?
Brian T. Moynihan : We won’t talk about the sizing because we’re still working on it. One of the things Betsy, the total deposit base on the retail side is $600 billion. So, if you think about the loss dollars as a percentage of that you can see that you need to make up between the fees and the deposit spread you need to make up an amount and this is all about taking what was a pricing that hit a small group of people hard and spreading it. So the mitigation would be around product design to help customers and use more automated means and do that. –We’ve launched some of those products already. It’s a discussion of whether you have monthly maintenance fees is in the mitigation consideration but also as rates rise deposit pricing, I think we would be more conservative to achieve some of that spread across everybody so people only look at fee versus fee but there’s actually you have to look at all the revenue sources from a transactional count that we can get it from. We’ll detail those for you in subsequent quarters as we’re putting them in but I think the core issue is that we just want to make sure that people are clear that we can get down around the $2 billion range.
Betsy Graseck – Morgan Stanley: Lastly, on liquidity and the cash you have on balance sheet, what are the triggers for reinvesting that cash and bringing that liquidity down?
Brian T. Moynihan : I think philosophically we’re going to be carrying more liquidity. I’m not sure this much is the right answer long term but I’d be careful. A lot of people make the assumption that that can be put to work and earn a lot more. If it’s liquidity it’s not going to earn a lot because it has to really be liquidated especially under our standards on the rules but I think it would shrink the balance sheet and therefore free up capital is a better way of thinking about it over time. Again, until we see the new rules on liquidity which are the Basal III proposal stuff which are tough, not tough which are fair and will require a lot of liquidity we want to make sure we’re holding enough. But, I wouldn’t just assume you could put it in to 100 basis point earning assets because it really would just be paid down and reduce the size of the balance sheet.
Betsy Graseck – Morgan Stanley: But you have been putting some of your liquidity in to treasuries right which is a little bit better than what yield you’ve been getting in the past?
Brian T. Moynihan : In increments, yes.
Neil A. Cotty : We’re putting them in to treasuries but it’s not like we’re opening up the interest rate gap significantly. We’re also putting hedges on against some of those.
Brian T. Moynihan : So we bring them back to current so it’s tens of basis points opposed to anything spread on them. We’re going to run the balance sheet Betsy very carefully, the discretionary portfolio and stuff this is a key use of capital wise going forward so we’ll be clearer on that as we get clarity on some of the rules.
Neil A. Cotty : Just the prize point of managing the balance sheet closely I’ve sort of covered the sale and loss of $331 million in equities. Again, that was one of the actions we took during the first quarter to tighten up on the balance sheet.
Operator: Your next question comes from Glenn Schorr – UBS.
Glenn Schorr – UBS: Just a little bit further on the whole liquidity conversation, I don’t know if it’s just timing or if it’s just a rate thing but commercial paper went from $70 billion up to $85 billion. I’m just curious with so much liquidity, the thought process on taping that as a source of funds. And then just in conjunction with that just talk about maybe the size of runoff in the CD portfolio that might be coming off and how those work together?
Brian T. Moynihan : The CD portfolio I would put more in a business line strategy question as opposed to a corporate level planning on liquidity strategy, it’s more the team. As CDs mature people go in to short terms, they don’t want to commit to duration and also we’d still have behind the scenes. As many of you know over the last couple of years we had the Countrywide CD portfolios and other things were running off so that’s more the CDs. I wouldn’t try to equate that up to the commercial paper. Neil on the commercial paper?
Neil A. Cotty : On commercial paper we’re looking at during the quarter various areas to tap the markets and just felt diversification and a mix at good rates was the way to go.
Glenn Schorr – UBS: Then, when looking at deposits they were reasonably flat enough from last quarter. In listening to your comments about some of the loss mitigation efforts you might make, in retail implicit in there it sounds to me like competition as reasonably rational and your clients are staying put but I just want to see if you agree with that comment?
Brian T. Moynihan : We’ve done fine on deposits. If you think about it broadly we’ve done fine on the retail side in terms of the relative position of our industry. But if you go to the affluent side we’ve done very well and built a lot of deposits. There’s $500 billion of deposits that are in our Merrill Lynch customers or in other banks just with a relationship manager practice we should be pulling those in so you’ll see that selling routine continue to drive that and that was strong against this quarter.
Glenn Schorr – UBS: One step further there, traditionally if and when rates rose people sometimes migrate out of deposit side, are you preparing for that? Is that part of the big liquidity boost as well?
Brian T. Moynihan : We think the customer holistically that they would have liquidity choices to put their investments in and so if money market rates became competitive again we have that platform to put them in also. I think we’re a bit of a distance away from that outcome because you got the fee waivers and stuff on that side of the business that we’ve got to recovery from first so as the yields come up the net yield to the customer will take a while for that to come through.
Glenn Schorr – UBS: Rating agencies have been vocal lately on additional levels of support and how they might react if resolution authority is made official which is probably already official. I don’t necessarily agree with the magnitude but the concept does that contribute to your boost in liquidity levels and how do you think about what happens if there was a notch or two of support taken away?
Neil A. Cotty : We’ve had ongoing conversations throughout the quarter, we always do, with the rating agencies and obviously we’re focused on liquidity levels to return them to the sort of levels that we wanted to pre all the disruption that went on. So I would say yes, we’ve been having dialogs, it is in the back of our mind and again, our focus is on having a strong balance sheet and very liquid. Again, just as there is uncertainty with regard to the economy, the uncertainty as Brian mentioned with regard to Basal III and other things that are being passed or discussed in regulation. We just want to be well prepared for anything that may come at us.
Operator: Your next question comes from Edward R. Najarian – ISI Group.
Edward R. Najarian – ISI Group: Just a couple of quick questions on credit quality, any insight on why the first lien mortgage charge off ratio went down this quarter despite some of your comments regarding additional charge offs related to the underlying value of the collateral? That would be question number one and then question number two, should we expect this quarter to be the peak in the credit card loss ratio? It looked like your March master trust data was pretty significantly improved in terms of both charge offs and delinquencies relative to January and February. We have JP Morgan forecasting an improvement in the second quarter so I’m just interested in your outlook 2Q versus 1Q there on credit cards?
Brian T. Moynihan : I’d just say an overall caution and then I’ll have Neil fill in some of the elements there. We’re still fighting the denominator affect on these ratios on a given quarter so the key is to focus on nominal delinquencies, nominal run and then make sure we stabilize the platform. So as we go through the quarter I’m not sure next quarter I would predict it but over the next several quarters it is bound to stabilize and as delinquencies and charge offs keep coming down you’ll see the ratios improve. We feel we’ve broken the back of it and it’s coming the right way from the front end, from the early stage through so that’s the key. Neil?
Neil A. Cotty : I think we’ve been attacking the credit card side for quite some time and you should see some improvement going forward. On the residential side, it went down slightly but when you adjust for all the items we talked about I don’t think it’s down significantly.
Brian T. Moynihan : The most encouraging thing I would say is if you look at 30 days past due percentage it actually did decline on the card and has been declining which is running ahead of it and that’s good news going forward and that’s why we take some solace in what we should see over time and frankly why the line of business level, they released the reserve.
Edward R. Najarian – ISI Group: Just as a follow up, is there any reason to think that first lien mortgage ratio was a little bit inordinately low this quarter and even though you’re getting ahead of it could be up maybe in 2Q and 3Q before we get a more consistent downtrend?
Neil A. Cotty : You’ve got to be careful looking at the ratios because you do have noise in there because as mentioned earlier the collateral dependent that we talked about.
Edward R. Najarian – ISI Group: Right but that would have added to it not detracted from it yet it was still a little lower than expected.
Brian T. Moynihan : I’m not sure we expect either mortgages or home equities to move dramatically from where we are at this point in terms of dollar amounts and in terms of how it affects the P&L. We are running the mortgage portfolio down overall because in the grand scheme of things there is a big chunk of it that is a runoff portfolio that will go down.
Operator: Your next question comes from Christopher Kotowski – Oppenheimer & Co.
Christopher Kotowski – Oppenheimer & Co.: Just picking up on that last comment, one of your big competitors at a recent analyst day they classified about 70% of their home equity portfolio as being a run off portfolio and almost 90% of their prime mortgage portfolio as being a run off portfolio and I took that kind of as a big vote of no confidence in those products. Do you see it similarly? What is your outlook for the future of those products?
Brian T. Moynihan : You heard Neil talk earlier, 90% of our produced home equities on our book are to clients who got a home equity to fund a kids education or whatever it was for, it’s a core product so we did $2 billion this quarter in to originations. It’s just the reality is that $2 million originations versus what we were doing before is that portfolio would come down a little bit but it is a core product. It’s just where we’re in there’s not as much equity in people’s homes and things like that but it is a core product for people to use, for more affluent customers to use quite frankly to tap the equity for near term use to fund a kids’ education as I said, fund something else, and then pay it off over time. So it is a core product for us, we wouldn’t expect those kind of numbers to be there. On the first mortgage you’ve got to remember that we have first mortgages on our books for various reasons. Part of it is the portfolio we produce and that is JUMBO and other things for our wealthy and affluent clients. That is a core business and it will continue to grow. We then have another portfolio of mortgages that we have as part of our discretionary activities to balance our book. That will go up and down depending on what we need at the time. What I was talking about more clearly was that as we bought Countrywide we inherited portfolios which are not core and those will run off. The first two categories will stay in the business it’s just that the impaired portfolio of things will run off over time.
Christopher Kotowski – Oppenheimer & Co.: Then as a follow up, how do you determine what’s collateral dependent versus non-collateral dependent? I hadn’t heard that time used in quite this way before and what drives that decision and the pending charge offs with it.
Neil A. Cotty : You look are there other sources of collection against loans such as earnings of the debtor.
Christopher Kotowski – Oppenheimer & Co.: Then just lastly, you highlighted on a couple of occasions that you were asset sensitive and I’m just kind of curious is there a way to gage what the impact on your margin if you had say a 100 basis point increase in rates gradually over the course of the year?
Neil A. Cotty : Yes, there’s a page in the deck that we issue that has the traditional bubble charts in there, I believe it’s page 60, it’s in the appendix. We have the bubble charts and I think there’s also a sensitivity chart on the next page, it should be page 62 which would give you that. You’ve got to remember that’s off the forward curve.
Brian T. Moynihan : The other thing is that’s also on the base of $50 billion of yearly NII and so the number is relatively small.
Operator: Your next question comes from [Chris Weyland – IRA].
[Chris Weyland – IRA]: Going back to your return on equity target in the low teens, there’s an awful lot of talk in the analyst community about normalized earnings and a return to the normal trend. When you look at the real estate market as you’ve already discussed the opportunities available, the equity in homes, when you look at the addition of Merrill Lynch, how should we think about the industry past the crisis, past the credit issues in terms of return on equity as opposed to what we saw in say the previous five to seven years?
Brian T. Moynihan : I think we’re carrying on a gross equity yield a fair amount of equity, we have a fair amount of intangibles so that number is going to be suppressed in some respects in our category just because of the difference between return on the stated common versus the tangible common. But, I think as we said we’ll be figuring a lot of that out but I think this is a good industry, I think we have the best position in it and I think anybody who can earn money will earn money and I’m comfortable that when we look at all the rules that we should hit the targets that are in those lines that I talked to you about.
[Chris Weyland – IRA]: Just to follow up, low teens is much lower than we were obviously with a very large mortgage securitization flow. You guys at BA and also at Merrill have been doing a lot of work on covered bonds in Washington and trying to shape what comes out or may not come out of that legislative effort. How do you see the non-conforming private label market over the next couple of years fitting in to your model and the industry model as far as revenue?
Brian T. Moynihan : I think we have to find a solution for those customers and putting all non-agency business on the balance sheet at the banking industry is a pretty difficult task and we have to find a market and figure out a way to securitize those assets and we’re just getting in the game and all the proposals. One of the things we need to keep balance on is the judgment of how it will impact those markets which are important to the customers. As things stabilize and people have the debate about Fannie and Freddie and what will go on and stuff like that they become even more important. I think we are mindful and we’re trying to help shape the proposals and policy that would end up with a strong secondary market for mortgages that would allow this country to continue to fund the mortgage debt appropriately for all customers not just the government qualified customers.
Operator: Due to the time we have no more time for questions. I’ll turn the call back to our presenters for any closing remarks.
Brian T. Moynihan : Thank you for your time. I think again with the summary I sort of left off it was a solid quarter. You can see the earnings come through as the credit costs mitigate but the economy is still something we are mindful of and it’s solidified and stable and it’s having a good impact on our company. As we look out we expect the recovery to continue. It’s good to see all our businesses except the one are profitable and we’re working on that one hard and that business had strong sales and trading but what you’re starting to see is as credit costs mitigate the core banking side of our platform starts to generate and balances back out the company. Thank you for your time and we’ll talk to you soon.
Operator: This concludes today’s teleconference. Have a great day. You may disconnect at this time.